Operator: Ladies and gentlemen thank you for standing by. Welcome to the Duke Realty Earnings Results Conference Call. [Operator Instructions] And as a reminder, today’s conference is being recorded. I’d now like to turn the conference over to our host, Vice President, Investor Relations, Mr. Ron Hubbard. Please go ahead.
Ron Hubbard: Thank you, John. Good afternoon, everyone, and welcome to our second quarter earnings call. Joining me today are Jim Connor, Chairman and CEO; Mark Denien, Chief Financial Officer; Nick Anthony, our Chief Investment Officer; and Steve Schnur, Chief Operating Officer. Before we make our prepared remarks today, let me remind you that certain statements made during this conference call may be forward-looking statements subject to certain risks and uncertainties that could cause actual results to differ materially from expectations. These risks and other factors could adversely affect our business and future results. For more information about those risk factors, we would refer you to our 10-K or 10-Q that we have on file with the SEC and the company’s other SEC filings. All forward-looking statements speak only as of today, July 30, 2020 and we assume no obligation to update or revise any forward-looking statements. The reconciliation to GAAP or the non-GAAP financial measures that we provide in this call is included in our earnings release. Our earnings release and supplemental package were distributed last night after the market closed. If you did not receive a copy, these documents are available on the investor relations section of our website at dukereality.com. You can also find our earnings release, supplemental package, SEC reports and audio webcast of this call in the investor section of our website as well. Now for our prepared statement, I will turn it over to Jim Connor.
James Connor: Thank you Ron. Good afternoon, everyone. First of all we hope all of you and your families are safe and healthy during this pandemic. When we last gathered for the quarterly earnings call in April, the room was grappling with the onset of the pandemic. At that time, I heard a lot about half a dozen risk management strategies that we had implemented tied to safety, low working capital preservation and more closely engaging with our customers. While there is still a lot of uncertainties around the pandemic and its ultimate impact on the economy, we are in a considerably better place from a capital markets liquidity and consumer confidence perspective compared to three months ago. Even more encouraging has been the resiliency of the industrial sector overall, and more specifically the performance of our portfolio. Second quarter highlights; we achieved 27% growth in rental rates on second generation leases on a GAAP basis, and 11% on a cash basis. We renewed 75% of our expiring leases, and including immediate backfills we released 96% of expiring leases. Besides 7.6 billion square feet of leases which contributed to 100 basis point increase in our total portfolio occupancy to 95.3%. Leasing was broad based across all industries with about 20% tied to e-commerce. Monthly rent collections remains strong at 99.9% including executed short term rent deferral agreements. On the balance sheet side, we further bolstered our liquidity and lowered our cost-to-capital by executing a $350 million unsecured note issuance that achieved an all-time record low 10-year coupon and the REIT sector of 1.75%. In addition, we tapped the equity market generating $71 billion of proceeds through our ATM program. We published our fifth annual corporate responsibility report in May. We highlighted our achievements and new initiatives in environmental, social and governance, such as maintaining our long -- long term track record of top tier corporate governance, continuing to drive and improve the diversity and health of our workplace and be respectful of and positively impacting the environment. Now, let me turn it over to Steve to cover the operation side in more detail.
Steven Schnur: Thanks, Jim. I'll first cover overall market fundamentals and then review our quarterly operational results. Quarter ended up relatively strong in the demand front, given the mostly soft, soft economic data points in the broader economy. Demand was estimated in the 20 million square foot range. Deliveries were up as expected to about 56 million square feet, which pushed vacancies up 20 basis points to about 4.7%. For the full year, the major research firms project about 250 million square feet of deliveries with about 120 to 150 million square feet of demand. Given this outlook, we expect the year to end roughly about 5% vacancy on a national basis. As we look into the future bit, a key factor we've learned over the last four months is that the pandemic impact to consumer behavior and supply chains have materially elevated demand for logistics real estate. As an example of CBRE is now estimated, we could see 330 million square feet of demand in 2022, which if correct would be an all-time record and demand. And over the next five years, CBRE is also projected about a billion square feet of demand and total. What happens with supply going forward is a little -- a little bit harder to predict at this time. Well, we do have some color on deliveries for this year, it's difficult to project the magnitude of new starts. So I think we'll have to watch this closely over the next quarter or so. With all the strong data points in e-commerce, supply chain resiliency and increased inventory levels, it's probable the new spec developments starting to ramp up some, but as I said, we need another quarter or two to comment on that trend over the next year. Turning to our own portfolio, and as Jim noted, we had an excellent quarter from a leasing standpoint. With a total lease in mind of 7.6 million square feet we executed 1.9 million square feet of renewal leases, and either renewed or immediately released 96% in the second quarter lease expirations. Rental rate growth and second gen leases signed in the quarter was 27% on a net effective basis and 11% on a cash basis. We believe the rent growth for the second half of the year will remain strong and we'll see similar performance levels to a recent history. A few of them are notable transactions include an 800,000 square foot lease and a spec development in Southern California, scheduled to deliver toward the end of this quarter. We also signed a 300,000 square foot new lease encompassing two facilities in Raleigh. On the renewal side, we executed transactions with a major Home Improvement retailer in Northern California, the American Standard Corporation in South Dallas, Wayfair in New Jersey and a Reverse Logistics company in Nashville. Across all leases, the average size was 138,000 square feet, and our average lease term was about six years, which is fairly representative for our performance. We believe the size and term of our transactions represents an element of differentiation in terms of lower portfolio volatility, and typically more creditworthy tenants. And also, add that we're definitely seeing stronger demand for larger spaces across all of our markets. In addition, we now only have 3% of our leases expiring in 2020 and 9% in 2021. These low expirations coupled with 15% to 18% mark-to-market estimate our entire portfolio should continue to contribute to lower volatility and strong stable NOI growth over time. We’ve added new exhibits in the supplemental report posted last night on our rent collections, deferrals and bad debt expense. We hope this provides helpful information as you know it can be difficult to compare results between companies. Overall, we are very pleased with our rent collection results and tenant credit or credit worthiness and we now believe our total bad debt exposure will be much less than we feared last quarter. As of this morning, 99.9% of our originally due second quarter rents and 99.9% of our originally due July rents have either been collected or deferred pursuant to agreements in place. The terms of many of the short partial deferment agreements that we've executed requiring tenants to begin paying deferred rents in July, and we're happy to report we've collected 100% of those amounts. Turning to development, we had no new starts during the quarter. However, we have a very optimistic outlook on increased development starts for the remainder of the year. There are a number of improved demand indicators, particularly a few months of very strong data points in online retail sales, business community reaction to recent supply chain bottlenecks, as well as diversified supply chains and increased inventory stocking that will require new facilities. Specific to our own situation, we’ve leased out space in our speculative developments faster than we had forecasted, and we improved overall occupancy in addition to our strong rent collections I discovered. We also have an inventory of strategic info land in the best submarkets and Tier 1 logistics cities such as Southern California, South Florida, Northern California, and Seattle will be highly attracted to capture incremental demand going forward. We'll continue to focus on build assumed development opportunities. I'm happy to report we have a very healthy build to suit prospect list. And supported by the economy and local market fundamentals, we may also look to resume speculative development in certain sub markets on the land I just mentioned. Our development pipeline at quarter end totaled $846 million, with 82% of these dollars allocated to coastal Tier 1 markets. These developments are projected value creation in the mid 30% range. The pipeline is 65% pre-leased, which is a very impressive given that we delivered nine projects during the quarter totaling 3.2 million square feet, but at 82% leased at the end of this quarter. I'll now turn it over to Nick to discuss the acquisition and disposition environment.
Nick Anthony: Thanks, Steve. For the quarter we had no acquisitions or dispositions, which is not unexpected given the environment we were in between March to June of this year. Looking forward on dispositions most of the originally identified assets are now back in the process of being marketed given the extremely high interest in industrial real estate and we just pay pricing to be at pre-COVID levels or better. As you're aware, dispositions are a key component of our strategy to increase our exposure to coastal tier one markets, diversify our tenant base and is also an integral part of our funding strategy. With regard to the tenant exposure topic, we recognize that our inner exposure reins [Ph] slightly higher than historical levels. Given our temporary pause and cap transactions in the second quarter, our disposition timing is a little behind schedule. As we've done in the past, we are in the process of monetizing some names on assets later in the year or early 2021, which will bring our exposure back down to more historical levels. Amazon continues to be a great partner with a fabulous growth profile, given all that's going on in the world having slightly elevated exposure on a temporary basis to a AA rated company growing at over 20% a year with a $1.5 trillion market cap isn't necessarily a bad thing. On the acquisition front, the market remains competitive, but we continue to look for and find strategic opportunities and have the balance sheet to react quickly to them. Subsequent to quarter end, we've closed on one transaction and have another three under agreement. I will now turn over our call over to Mark to discuss our financial results and guidance update.
Mark Denien: Thanks Nick. Good afternoon everyone. Core FFO for the quarter was $0.38 per share per diluted share compared to $0.33 per diluted share in the first quarter of 2020 and $0.36 per share in the second quarter of 2019. The increase to core FFO in the second quarter of 2020 compared to the first quarter was partly driven by a $0.03 per share, decrease in general administrative expenses to accelerate non-cash expense on our first quarter annual stock compensation grant. Our positive second quarter results were also a result of higher occupancy, rental rate growth and lower bad debt expense. Bad debt expense during the second quarter of 2020 was only $463,000 compared to $5.5 million in the first quarter, almost all of which was on a straight line basis. We reported FFO as defined by NAREIT of $0.33 per share for the second quarter of 2020 compared to $0.28 per diluted share in the first quarter of 2020. AFFO totaled $135 million for the quarter compared to $126 million for the first quarter of this year and $122 million for the second quarter of 2019. We continue to produce impressive AFFO growth, especially given the current operating environment. Same property NOI growth on a cash basis for the three and six months ended June 30 2020 was 5.0% and 5.8% respectively. Same property NOI growth for the quarter was mainly driven by increased occupancy and rent growth. Same property NOI for the three and six months on a GAAP basis was 2.8% and 2.2%, respectively. Same property NOI on a GAAP basis for the six month period was negatively impacted by the straight line rent collectability reserves we recognized during the first quarter of 2020. From a capital standpoint, we issued $350 million of 10-year unsecured notes at a coupon rate of 1.75% and an all-in yield of 1.85%, which was the lowest ever by a REIT for a 10-year unsecured note issuance and was among the lowest all-time 10-year rates among all corporate issuers. We use a portion of the proceeds of these notes to extinguish $216 million of our 3.875% of secure notes, which had a scheduled maturity in October 2022 through a tender offer. We also use available cash to pay down the $200 million of line of credit borrowings that were outstanding at the end of the first quarter. I would now like to address the changes to our 2020 guidance that we have made, which are based on our better than expected second quarter operations and considerably improved outlook for demand and credit warriors [ph]. First, we've increased our guidance for core FFO to a range of $1 48 to $1 54 per diluted share from a previous range of $1 41 to $1 51 per diluted share, which equates to a $0.05 per share increase to the midpoint. The increased guidance for core FFO is driven by a midpoint decrease of about $8 million or $0.02 per share, compared to the $16 million of bad debt expense we estimated when we updated our guidance in April. Again, I'll point out page 16 of our supplemental information, which details our bad debt expense estimates for the year and note there are approximate 100 basis point, total bad debt expense estimated only about 45 basis points of this is on a cash basis. For similar reasons to core FFO, we have also increased our guidance for NARIET FFO to a range of $1 35 to $1 43 per diluted share from a previous range of $1 32 per share to $1 44 per share. This increase was less than or increase to core FFO due to the loss of debt extinguishment we took in the second quarter in connection with the tender offer for October 2022 notes. We've also increased our guidance from the change and adjusted funds from operations on share adjusted basis to range between an increase of 3.1% to 7.7% from the previous range of 0% to 6.2%. For same property NOI growth on a cash basis, we've increased our guidance to a range of 3.5% to 4.5% from the previous range of 1.75% to 3.25%. This increase in guidance premise largely on a revised lower expectations for cash bad debt expense and increases in occupancy. We also increased our guidance for all of our occupancy metrics as outlined in our supplemental information on our website. The increased occupancy guidance has resulted better tenant demand for our properties and the expectation of fewer tenant defaults compared to our previous guidance. On development, Steve presented an update in fundamentals that supports a more positive landscape in the second half of the year for new starts. Our revised guidance for 2020 development starts is between 350 million and 550 million compared to the previous range of between 275 million to 425 million. We've updated a couple other components for guidance based on our more optimistic outlook, as detailed in a range of estimates, including our supplemental information on our website. I'll now turn it back to Jim for a few closing remarks.
James Connor: Thanks Mark. Last quarter's results were very strong, highlighted by solid leasing, that led to a 1% increase in total portfolio occupancy, 27% rent growth and the strengthening of our already solid balance sheet, even amidst a global pandemic negatively impacting many sectors of the economy. Our state of the art portfolio has thus far proven to be extremely resilient and performed better than we had initially expected last quarter. Coupled with our strong balance sheet and strategic land inventory, we are in a position to gradually ramp up our growth and value creation by a development. With this, we're pleased to raise guidance on a number of our earnings and operational metrics. Although we have a ways to go to see through to the other side of the pandemic, what is now clear is that the logistic real estate business is in exceptionally strong position. We’re optimistic and excited to leverage our operations development platforms to continue to grow our cash flow and dividend growth over the long term. And lastly, let me thank the extraordinary efforts by our team to continue to execute our plan from primarily remote locations. And thanks to our customers and the brokerage community for collaborating remotely with us for the last three months and for the foreseeable future. With that, we'll now open up the lines to our audience for questions. I would ask the participants to keep the dialogue to one question or perhaps two short questions. And of course, you are always welcome to get back in the queue. Operator we’ll now take questions.
Operator: [Operator Instructions] Our first question comes from Blaine Heck with Wells Fargo. One moment Blaine. Go ahead. Your line is open, sir.
Blaine Heck: Great, thanks. Good afternoon. So clearly 2020 development start-ups have trended down from where you've been in the past few years. But looking forward and taking into account everything Steve went over in his remarks, the pullback we've seen across the board and supply and demand that seems to have held up well. Jim, actually we think about the potential for you guys to ramp up 2021 starts to a level that maybe even comparable to pretty COVID.
James Connor: Well, I guess I would give a general comment without giving real indication of guidance. But clearly, we're a lot more optimistic about the second half of the year. And I think we can extrapolate from our increase in guidance for the second half of the year would put us back into a more normalized level in 2021 if things were to hold. Clearly, we need to maintain leasing on the development pipeline and our existing portfolio. We've got a great pipeline, as Steve alluded to, but things continue to stay solid. And that affords us an opportunity to do some spec development. Then I think you could see us push back into kind of a more normalized level.
Blaine Heck: All right, that's helpful. Second from me, you know you got to find some pretty significant early renewals this quarter. Can you just comment on how those types of discussions are happening? Are you guys approaching the tenant? Or are they approaching you? Are there any concessions being offered and exchange for that kind of “extension”? And then lastly, how long before a lease expiration? Are you guys having these discussion?
Steven Schnur: Blaine, this is Steve. I'll jump in. We've very good lease volume, I think for the quarter overall. If your question was on the short term extensions, I would say it was a little it was a little unique blip there with what was going on in April and May, where some tenants wanted to hold over short term or take advantage of market conditions that we took advantage of to plug couple of holes. I think you'll see that number moderate back down to six or 700,000 feet of short term deals per quarter going forward. Relative to overall general discussions on extensions and renewals, I wouldn't say anything out of the ordinary right now. We had, we had one unique situation in Northern California, where it was, we've acquired a piece of land and the tenant is going to lease that on a long term basis. So we extended the existing lease with to coincide with that. So that's tied up long term. We had another situation in Northern California on another deal that was, that was a little bit early that had to do with a government contract on a short term basis. So and Blaine we broke those out separately in the supplemental, I think for the first time this year. And we've done blend extents and things like that in the past. These were really not these are not blend, extend deals like Steve said, it was really just a couple of unique circumstances. And because the original lease term were not changed, and the new terms don't kick in for two or three years down the road, we just didn't want to mislead everybody and think we're going to get substantial growth right away on those deals. So they were just a couple unique situations.
Blaine Heck: Got it. That's helpful. Thanks guys.
Operator: Next, we'll go to the line of Frank Lee with BMO. Go ahead.
Frank Lee: Good afternoon. Looks like most of the core assumptions that were raised in your guidance were due to stronger leasing and lower bad debt. Yes. How did rent growth factor into this? What do you mean for market rent growth? And did this change from your previous guidance?
Steven Schnur: I think I -- in my comments, I indicated your rent growth was solid at 27% GAAP and 11% cash. That's fairly consistent with where we are, or what we have been. I think last year, we were 28 and 12. I think you'll see us in that same sort of range for the balance of this year. I mean rent growth. This is still a landlord's market. We're at 4.7% vacancy on a national basis. We're still happy with the conditions out there in terms of supply and demand.
James Connor: And Frank, I would just add to that for the current year, like operating guidance on metrics, like FFO and items like that. Everything Steve just mentioned, is going to be great for 2021 and beyond. It really, it is not impactful for creating your numbers more for the future.
Frank Lee: Thanks. And then you noted potentially starting some spec developments in a few markets. Are there any markets that look particularly attractive for some spec elements and maybe how dependent are your spec starts on getting some of these into number four spec projects that are delivering next year?
James Connor: And Jim again. We are always mindful of where we stand with our spec space that's available. We've done a really nice job, that pipeline for us is down as low as it's been in a couple of years. So our teams have done a really nice job leasing up available spec space. The markets will look to, we're focused on infill hybrid [ph] Tier 1 markets. So I think you'll see us, be active in Southern California, Northern California, Seattle, South Florida, maybe New Jersey. Those would be the markets we'd be looking to if we if we decide we want to pull the trigger on a spec building.
Frank Lee: Okay, great. Thank you.
Operator: Next, we go to Nick Yulico with Scotiabank. Go ahead.
Sumit Malhotra: Hi, this is Sumit in for Nick Yulico. So, just a question on the bad debt exposure guys. I think, I appreciate that your bad debt expenses is trending down very fast. It's almost deminimus. Just wanted to get a sense of how much the uncollected rent which is default or deferred could impact your cash NOI growth of 5.0% this quarter. And in addition, if I could also understand if there's some bad debt there that are lingering because you cannot evict the tenant because of local jurisdiction. moratoriums.
Steven Schnur: Yes, so let me -- let me try to take that Sumit. First of all, when it comes to bad debt, deminimus stress is zero. We always strive for zero, we're not quite there yet, but it is coming down, that's for sure. Very little or really none of that that we've got in our pipeline right now is due to moratoriums or anything like that. We're at 99.9% for the second quarter in July on collected plus executed deferment agreements. We firmly believe we're going to collect on those executed deferment agreements. I think it's important to understand that on those agreements, these are not just free rent with what I call the hope certificate [ph] on the end. These tenants are paying as current on operating expenses and half their base rents. We did put up a reserve for about $480,000. We disclosed on current, tenants that are current on those deferment agreements. The only bad debt we had in the quarter for what I call delinquent or really problem tenants currently was $200,000 which we also disclosed on page 16. That's about the 0.1% that we have not collected for the last four or five months. That's what that 215,000 relates to. And we are in various stages of eviction on those tenants. But we don't think it'll be a long term issue because it's not under moratoriums or anything like that. So we'll get those tenants out of the space and we'll get them released.
Sumit Malhotra: Okay, and just following up on the impact of cash assets, NOI is that nothing or -- I mean, does it move from 5.0 down slightly?
James Connor: Well on -- we've got the -- we've got the 463,000 of cash that we booked this quarter hit NOI. And in our guidance for the remainder year, we have $3 million more of cash, bad debt expense, that’s bringing that NOI number down. That is already included in our guidance. Now, hopefully we’ll not need that $3 million, but that's our best estimate right now.
Sumit Malhotra: Okay, thanks so much.
Operator: Our next question comes from Bruce Frankel with Green Street Advisors. Go ahead.
Eric Frankel: Eric Frankel here. Thank you. Just a couple of questions. Steve, could you provide a little more color on supply chain bottlenecks that are affecting demand? I mean, that can be a big demand boost to think even the near term.
Steven Schnur: Yes, Eric. I think there were a couple of examples. I mean, obviously the one everybody's familiar with is toilet paper. I think the -- you heard a lot of other examples, people ran out of soup. We've got clients that are looking at different facilities right now to -- the new term, or the term being used today is sort of the safety stock. And where does that end up? You know, people were running facilities, just in time inventory levels, and I think we're starting to see requirements pop up in different markets to house longer term goods, to ramp against any potential disruption in supply chains again.
Eric Frankel: Okay, that would be excellent trend to track. And then on the -- just going back to the deferrals. Could you maybe clarify what types of tenants and what types of industries are requesting the types of agreements?
Steven Schnur: Yes, I guess the -- you know we covered some of this in the first quarter. And I'm happy to say that it hasn't changed much most of what we, I'd say 95% of what we dealt with, we dealt with in April, and in early May. The largest takeaway that I can give you from our portfolio is size related. The vast majority of our deferral request that we were ultimately willing to agree with and live with were under 100,000 square feet. And I guess another comment I would make on it, the way we chose to handle the permits. And what we put in our supplemental was, we gave short term as Mark covered, we gave short term deferrals of partial abatements and most of the time tenants were paying at least 50% of their base rent cost plus operating expenses for a short period of time on average three months, and that money was paid back to us within five to six months. We did not do any blended expense. I think if you look at our transaction volume, it's consistent with what we've done in the past. And so we did not take any tenants and extend term on the back end and just call it a new deal. So, yes, my biggest takeaway is not industry related. There's some obvious industries in there for travel and things like that, but it's more size related.
Eric Frankel: Okay, thank you. I'll jump back in the queue.
Operator: And as we go to Jamie Feldman with Bank of America. Go ahead.
Jamie Feldman: Great, thank you. I was hoping to get some color on moving cap rates and just what pricing looks like. I know there haven't been a ton of deals so far, which is, what do you think is going to happen here with cap rates, especially as you put these Amazon assets in the market?
Nick Anthony: Yes. Jamie, this, Nick. I would tell you that early on, there were a few assets with credit and term that traded at slight discounts. Those discounts basically went away. And given the industry environment, we do expect those cap rates to potentially compress even further. There's a tremendous amount of demand for those type of assets. Going forward in [Indiscernible] just Amazon, it's, you know FedEx on people, other ones like that. So yes, we think pricing is pretty good. There were a few transactions that we put under contract and slight discounts, but I even think those types of deals will slowly dissipate as well.
Jamie Feldman: Okay, thank you. And then as we keep hearing about the big names, like you just mentioned, Amazon, FedEx driving a lot of the leasing but you also said it's kind of broad base. Can you give some examples of like some of the smaller companies maybe we haven't heard about, or industries we haven't been thinking about that are also looking for space, and maybe the --maybe he’s doing it for the first time or kind of changing their supply chains for the first time?
Steven Schnur: Sure, Jamie, this is Steve. I think when you look at I mean, our average deal size in the second quarter was 138,000 square feet. You know that. I think that's telling. That's a little less than our average tenant size. We did transactions with food and beverage, consumer goods. A cell phone, nice lease with a cell phone company. Reverse logistics. So I think it's been, it's been, again, I think it's been broad based. I would, I would tell you, a majority of the activity, not surprisingly is e-commerce related. But that doesn't mean that that's one tenant. That's not just Amazon. I'd say Amazon is probably 20% to 25% of the market activities today. But there's a whole lot of other users out there that are that are benefiting from the online channel as well.
Jamie Feldman: Okay, thank you.
Operator: And our next question comes from Manny Korchman with Citi. Go ahead.
Emmanuel Korchman: Hi, everyone. Jim or maybe Steve, just if we think about your comments on the safety stock warehouses, is there an opportunity or a risk that those go to the tertiary locations and they just become feeders to the better located, demographic close to demographic warehouses that you guys focus on?
James Connor: Yes Manny, it’s Jim. I'll start then Steve can chime in. I would tell you, it's early on in the discussions and analysis. If you're sitting in the real estate and facilities group that, Procter and Gamble or Kimberly Clark or Clorox or Walmart, any of these major warehouse distribution users in the United States. People are saying, look, we need to have more inventory in the U.S. that's accessible to our stores and it's not just necessarily COVID related, this has been building for a while. Remember, the issues that we had with China going back last year, tariffs and the trade wars and everything else. And major U.S. companies, we cannot, we cannot put ourselves at risk. So, I think a lot of the facilities people are trying to figure this out right now, do we, do we expand an existing warehouse? Do we go into a completely new market? And it's all, it's all a function of how their logistics and supply chain operates, and how much expansion they want to put on it. So I can't tell you that we've necessarily seen maybe Steve or some of his guys have specific leases that were identified as that. I just know, there's a lot of those conversations going on right now, and companies trying to figure out how they're going to add to it. Steve?
Steven Schnur: Yes, Manny. All I would add is you know, there is some talk of different locations outside of major markets for slower moving goods and with some of our customers that it's not product or supply that we'll be involved in. I can assure you.
Emmanuel Korchman: Thanks. And maybe one for Nick, as we think about cap rates compressing and the amount of capital that continues to target this space. Is there an opportunity to get out of sort of tougher assets or tougher geographies for what you have left, acknowledging that you’ve sold out a lot of that stuff already?
Nick Anthony: We've already sold. We really don't. I mean, we really don't have a lot of assets to really call from the portfolio going forward. I mean, we'll continue to be prudent and try to keep improving our portfolio. There's not a lot of that. You'll still see us sell it in addition to some Amazon. In the Midwest, your -- sell some assets periodically, but as the volume will be much lower than what they have been historically.
Emmanuel Korchman: Thanks, everyone.
Emmanuel Korchman: Next, we go to Dave Rodgers. Your line is open.
Dave Rodgers: Yes. Hey, dude, I missed some of your comments earlier. But average sized deal I think you said 120,000, 130,000 square feet in a quarter. How much was that a holdover from just kind of activity on pause, maybe, come March and April and came back to you versus how much of that goes back to the safety stock or the acceleration of e-commerce and the need for space more imminently. Was there a way to parse that out?
Steven Schnur: I don't know that much was a holdover? Dave. I mean, most of what happened on the pause button, I guess, if you look at our sector what happened in April. So there was, there was certainly more activity towards the end of the quarter for us. So more of what got paused in April and early May went into June. I will tell you, when we did this call 90 days ago. Our build a suit pipeline, I think I've referenced at that time was down, probably 30% 40%. On prospect basis, I would tell you -- building the pipeline today is, is every bit what it was. Pre-COVID, we felt like we would get some transactions signed in the second quarter to for the build assumed side that those didn't happen, the timing slips on. So back to my comments I made earlier about feeling good about the development pipeline going forward. That that's a good indicator for us and something we track closely and we're happy to see it back at pre-COVID levels.
Dave Rodgers: Helpful. And then maybe on the capital side, as you guys sell these Amazon buildings as you talked about Nick, it did really strong pricing. Have you guys thought about, joint venture fund or a way to kind of keep the asset value up even higher than it is currently for you guys, obviously with debt under 2% willing to issue equity at kind of that 36 and changed number, cost of capital only getting cheaper for you guys. Is there a desire to own more assets and try to keep more in house and look at other sources of capital as you move into the markets where you want to be ultimately?
Steven Schnur: Yes, I mean, we look at all the different levers to do that. But right now, primarily its outright sales of those assets. And it is a good way to raise capital for our development and acquisition pipeline.
Dave Rodgers: But given I guess your comments, Nick, that we’re kind of down to the bottom of that and demand for build-to-suit and spec could be growing. Should we anticipate you guys issuing more equity to be a component of that plan going forward?
James Connor: I mean, I think it certainly could be Dave. I mean, we did a little bit this quarter. I would point out it's not overly material, was a half a percent of our total share count. But in pricing we're at now and if Nick can find, good acquisitions, or Steve's team has good development transactions, we can issue a little bit of equity. I don't think it'll be sustainable. We could issue a little bit of equity and be very accretive to our overall returns.
Dave Rodgers: Great, thank you.
Operator: Next, we go to Michael Carroll with RBC. Go ahead.
Michael Carroll: Yes. Thanks, Steve. I just wanted to dive a little bit more in your comments regarding safety stock. I mean, how widespread are those conversations today and is their customer base that you have? Are they aggressively building on space to hold more inventories or more just have a discussion point right now?
Steven Schnur: I would say it's a discussion point, but it's certainly coming to fruition and it's not, it's not just sort of the known suppliers and retailers you think about. You think about e-commerce and for those of you on this call that were trying to order goods at your house, during the pandemic and in your 24-hour delivery window was not going to happen? That's included in the discussions on safety stock as well. Right, which is just increase in inventory levels. So yes, I mean, it's active. I think we're seeing it come to fruition more from the e-commerce side right now, which is probably why some of the demand we're seeing in the market is showing up on the e-commerce side of the equation.
Michael Carroll: Okay. And then like, is it sector specific? I mean, are there companies in certain sectors that are being more aggressive, like a consumer discretionary and thunder, like that's what you're referring to earlier? Or is it just more widespread and most of the major industries within the…
Steven Schnur: I think consumer discretionary for sure. Food and Beverage, and there really we talked about the fact that, there were 13 million users of online grocery a year ago, and that numbers is like 45 million users for online grocery today. So clearly, that's been a big, a big area of growth as well. And we're seeing that in our portfolio as well.
Michael Carroll: Okay, great. Thank you.
Operator: And our next question is going to come from Vikram Malhotra with Morgan Stanley. Go ahead.
Unidentified Analyst: Hi, this is [Indiscernible] on for Vikram. Thanks for taking the question. I was just wondering if you could comment on how construction costs are trending. I know pre-COVID things are getting a little bit more expensive. And then, in turn how you see development yields trending, post-COVID? Thanks.
Steven Schnur: This is Steve. Relative to construction cost. I think we've seen, I wouldn't say we've seen anything that's not, that's out of the normal. I think we've seen inflationary cost there, but nothing out of the normal. I would comment that land pricing, probably for a very brief moment in time dropped, but it's already back to what we call pre-COVID levels. So I think overall development costs are, are probably in line with where they were to start the year. Relative to development yields. I think it's a function of market. And there certainly is as cap rates compress, you start to see development rates be able to compress as well.
Unidentified Analyst: Okay. Thank you.
Operator: And next we will go to Mike Mueller with JPMorgan. Go ahead, Mike.
Michael Mueller: Oh, hi. You mentioned seeing more demand for larger spaces. Just curious, what's the size cut-off there where you start to see that pick-up in demand?
Steven Schnur: We track -- we track a whole lot of different stats over here. We typically break off between under 100 and 100 to 250 and 250 to 500 over 500 in our portfolio. We've been more active, I would say in size deals over 250,000 square feet, both in new deals in the market looking at available spec projects. And then I tell you on the build-to-suit side, certainly more activity over 250,000 feet. We signed as we said, we signed an 800,000 square foot lease in Southern California. That was a that was a spec project that was done in the second quarter before the billing was complete.
Michael Mueller: Got it. Okay, that was it. Thank you.
Operator: And our next question is going to come -- we're back to Mr. Eric Frankel with a follow up. Go ahead, sir.
Eric Frankel: Thank you. I guess my construction cost question was taken. Just wanted to talk about the development pipeline going back to the vault pipeline. Can you, and I understand this, this Raleigh project that was slated to redevelopment and we'll be back in service next quarter. Do you have those types of properties, your portfolio they're going have to be reconfigured in some shape or form, is that going to be common trend? You kind of have to do that in [Indiscernible] too?
Mark Denien: Eric, this is Mark and Steve can chime in or at. We have a few of those. You're right. We had a project in Raleigh, sort of a two building complex. It was a very weird setup. And we sort of took that building offline late last year, redeveloped a kind of lease sign, and that will come back in service this quarter here. I think we've got maybe a couple more of those. Yes, so we've done them from time to time in the past are not overly, usually not overly material, or not a lot of them but we're -- there's a couple of them out there.
Eric Frankel: Thanks. That’s all I got.
Operator: [Operator Instructions] We'll go out to Nick Yulico with Scotiabank. Go ahead.
Sumit Malhotra: Hey guys, this is Sumit here again. Just, something Nick just spoke about which is land pricing. Could you give us a little more color on how land pricing is trending across some of the key markets. I mean, interested to understand what the year-over-year inflation looks like after the brief speed bump?
Nick Anthony: Land prices. Yes, this, Nick, I would tell you that there are distressed sellers of land right now. Particularly when we're looking in the coastal tier one. Land pricing has rebounded. I would say there's maybe a little less competition, but it's still pretty tough to go find land particularly in the more infill markets that are constrained.
Operator: Next up, we have Ki Bin Kim with SunTrust. Go ahead, sir.
Ki Bin Kim: Good afternoon guys. So Mark, you had some really excellent execution on your unsecured note deal. If you understand 350 million at 1.85%. I know you don't have much of that coming to you, the next couple of years. And you can by itself fund most of your development. So a couple questions. One, how does the breakeven math work with issuing this type of debt and buying back [Indiscernible] debt? And second, with availability and in fact those cheap capital, does that make you guys want to think differently about capital deployment? Does it at all, make you more inclined to do other things like mez lending, leveraging your platform and your knowledge?
James Connor: Yes, so Ki Bin Kim, I'll start. Anybody else can add your thoughts. As far as the breakeven on the tender offer we did. We weren't really targeting to get all that money in. So the tender offer pricing that we put out there, we were really targeting at about 150 million or the 300. We were actually surprised and happy to get 220 million on the back end of the pricing we offer. And the way we looked at it, that breakeven was about 2.1%. So, if you take the 1.85% yield that we issued a new debt at you factor in the, what I'll call the debt prepayment penalty to buy back 220 million of the 3.9% coupon, the breakeven to do that deal two years from now was 2.1%. So we thought that was pretty damn attractive. And then you're right. I mean, the overall cost of capital is pretty attractive right now. And it seems like it continues to get more attractive by the moment. So I think it all comes down to, you have to have a use for the proceeds. I think the balance sheets in great shape, we're not targeting to go out and just do any debt refi or anything like that. So it'll all come down to growth opportunities on both the development acquisition side, and when those come to fruition, well we have the balance sheet to take advantage of it? And the second question, is there any noticeable difference in terms of the market rent dynamics within your core markets versus purchase non-core market?
Steven Schnur: Yes, Ki Bin Kim. This is Steve. I think our -- what we define as our high barrier coast tier one markets have performed better I'd say by a percent or two that our than our other markets. But by and large, we're seeing good rent growth in probably every market except for Houston. That's been one market that's been tough for us, and I think is gotten the headlines from others as well. But pretty good across the board, but certainly better and obviously in higher barrier tier one markets.
Ki Bin Kim: Okay, thank you.
Operator: And our last question comes from Richard Anderson with SMBC. Go ahead. Richard Anderson with SMBC, your line is open sir.
Richard Anderson: Stuck it in there. I had my mute on. Okay. First on the topic of use e-commerce versus, other good sets of bricks and mortar retailers or establishment. I assume, I think I know this as it requires more chunkier terms of the packaging for e-commerce utilization and hence perhaps more need for space is that – is that have a real impact on space needs? If e-commerce becomes significantly more of the flow of activity in some of your warehouses where you just need more space because the packaging is more sort of substantial?
Steven Schnur: Yes, I mean. I think the stat that's widely used is for a billion dollars of retail sales, it's 1.2 million square feet of warehouse space needed of e-commerce sales. Oh, sorry. And I think it's whether that you know, whether that's plus or minus, it's pretty accurate. We've seen that when you look at historically when you look at e-commerce sales and you look at industrial absorption and demand. So yes, we definitely see that. I mean, as you outlined in your explanation it's a way packages are one package and to the way they're shipped out of the warehouse, they're not going in massive pallets, are going to stores to get broken, right.
Richard Anderson: So 20% increase, essentially. You [Indiscernible] okay. And then, and I might have missed this like, a little bit late. But the behaviors of your tenants in terms of inventories, are you seeing perhaps it's, it's good specific, but is there a lean towards having more inventory rather than less? I'm just curious if there's been any change in behavior there?
Steven Schnur: No, we track, we track utilization in our warehouses. And that was a year ago, that number was an all time high of about 92%. That's come down closer to 90. I don't know, I can't tell you whether that's the fact that inventories have been somewhat depleted because of supply chain problems. In our conversations with customers, customers are not, -- we don't have anyone given us backspace. We haven't had any sort of, surge in sublease space within our portfolio. So, I can't tell you whether that 2% change in utilization is a material trend or not.
Richard Anderson: Okay, that's all I have. Thanks.
Operator: And we have no additional questions in queue at this time.
James Connor: Thanks, John. And thank you to everyone for joining the call today. We look forward to engaging with many of you in this fall. Operator, you may disconnect the line.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T event conferencing. You may now disconnect.